Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freddie Mac 2006 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, this teleconference is being recorded. I would now like to turn the conference over to the Senior Vice President of Equity Investor Relations, Ed Golding. Please go ahead.
Edward Golding: Thank you and good morning. Welcome to our investor presentation and conference call, where we are pleased to present our financial results for 2006. Speaking today are Freddie Mac's Chairman and Chief Executive Officer, Dick Syron; and our Chief Financial Officer, Buddy Piszel. Also joining for the Q&A are Freddie Mac's President and Chief Operating Officer, Gene McQuade and Executive Vice President for Investments, Patti Cook. As we begin, let me make two important points. First, we had posted on our website a slide presentation and core table, which include additional details on our 2006 results. Second, please note that today we may make certain forward-looking statements regarding our business results. These statements are based upon a set of assumptions about our key business drivers and other factors. Changes in these factors could cause our actual results to vary materially from our expectations. You will find a discussion of these assumptions in the Information Statement and 2006 Annual Report, which are posted today on our website, and we strongly encourage you to review these factors. And one final note, we would like as many people as possible to be able to ask a question. Therefore, if you would please limit yourself to one question, I would be grateful. Thanks. And now let me introduce our Chairman and CEO, Dick Syron.Richard F. Syron: Thanks, Ed. Good morning to all of you and thanks for your time. Despite a fairly tough credit and interest rate market environment in 2006, Freddie Mac successfully managed our business to meet the needs of our customers, serve homeowners, and deliver long-term value to our shareholders. We achieved reasonable GAAP and fair value results near the lower end of our longer-term expectation. We did this by maintaining as consistently strong capital position, which we leveraged to promote liquidity, stability and affordability in the U.S. housing market. We also made many significant additions to our executive team in 2006, including our Chief Financial Officer, Buddy Piszel, who you will be hearing from in a few minutes. Through the continued hard work of our employees and the expanded capabilities in our executive team, Freddie Mac made significant progress towards fixing our internal controls and financial reporting structure. This call and the release of our 2006 financials about 80 days after the end of the year demonstrates that progress and marks an improvement of two months over our 2005 timeline. We believe we are improving our process every month and expect to continue to make improvements in our disclosure and reporting timelines throughout 2007. This work will ultimately make our internal controls and processes as strong as our balance sheet is. Our continued capital strength is a strategic advantage for Freddie Mac. When market risk premiums appeared to be increasing and volatility returning, our underlying strategy remains unchanged. Going forward, our success will be determined by the quality of our management team and our ability to make sound risk management and capital deployment decisions. During the last year, Freddie used our underlying capital base and our results from operations in support of long-term strategic objectives focused on serving customer needs, meeting our mission requirements and focusing on improving shareholder returns. In our single-family business, we did this by increasing the amount of capital deployed to support expanded guarantee activities, including a higher percentage of nontraditional mortgages. This helped us to increase both our underlying guarantee portfolio and guarantee income, despite continued competitive pressure in a market overflowing with liquidity. Importantly, it also helps many of our customers with their affordable housing and CRA objectives. We will continue to increase our capital commitment to the single-family business by investing in new customer facing systems that will help us process a broader array of mortgage products. As we near the completion of our financial system remediation, this will become more and more an area of intense effort. From an affordable housing perspective, 2006 was a challenging year. In most ways, our affordable housing performance was stronger than ever. We financed homes for more than 3 million families, including 300,000 first-time homebuyers and over 0.5 million affordable apartment homes, and we believe we achieved all three of our affordable housing goals. As you've been reading, despite these efforts, families are finding it hard to stay in their homes, as deteriorating house prices, regional job losses and increasing mortgage payments are making their homes less affordable to them. In order to counter this trend and help to improve recent mortgage origination standards, we recently announced a change in our policy for purchasing and guaranteeing hybrid ARM subprime mortgages. We took this step not out of concern at all for our own exposure to these products, since that's limited to AAA rated tranches of private label securities, but rather out of a desire to lead the market from a mission perspective. Going forward, we will use our capital position to help smooth the market transition to these new standards and to create new mortgage products that will better serve the needs of all homeowners. Our retained portfolio declined slightly in 2006 as the combination of moderately lower investment balances, more stable asset mix, increased use of callable debt, and generally diminished market opportunities made it unnecessary or unwise for us to deploy additional capital there. This does not imply that the portfolio has a diminished role in meeting our mission however. It merely demonstrates that in 2006, we didn't feel the market liquidity needs or investment return opportunities justified a logic commitment. That in fact may be changing now. As these conditions change, we will continue to manage our portfolio in a way that serves our mission and generate shareholder value, while keeping our interest rate exposure low. The end results of our efforts in 2006 that we're able to return a significant amount of capital to common shareholders through a dividend increases and payments and repurchases. Notwithstanding the reduction in our capital associated with these activities, I am pleased to report that consistent with discussions with our regulator, our Board has approved an additional $1 billion in common repurchases and preferred offerings in 2007. This is a big achievement for us, but it is only our second step in the long-term objective of improving our capital structure and moving to a higher payout rate business model. With that, let me turn things over to Buddy to take you through the 2006 financials, before we turn to your questions.
Anthony Piszel: Thanks, Dick and good morning, everyone. I am going to take a few minutes to provide a high level review of our 2006 financial results and then briefly discuss our 2006 business trends. We posted a package of slides on our website that contain many of the numbers I will refer to, but I am not going to walk you through slide by slide. We should always begin by framing the economic environment we were working in, because it plays such an important role in our financial results. On the credit side, house prices went from years of double-digit growth to low single digits for the year with a steep falloff at the end of the year. On the interest rate side, two big changes from '05, the yield curve flattened and the implied interest rate volatility fell significantly. The affects of this environment can be seen in both our GAAP and our fair value results. Negative derivative marks impacted our GAAP net income; OAS widening, low volatility and widening credit spreads were a drag on our fair value growth. When these kinds of market conditions are present, our GAAP and fair value results will be very volatile and that's what you see. That also makes it challenging for us to explain our results. So let me frame how Freddie Mac performed in this market. Here are the headlines. Market conditions had a negative impact on both GAAP and fair value results. We returned substantial capital and still ended 2006 with a very strong capital position. Our asset quality remains very high, which retained portfolio subprime exposure limited to AAA securities. The retained portfolio is stable. Interest rate risk metrics all indicate continued safe and sound operations. Our G-Fee business continued its double-digit growth. We are better managing our administrative costs and improved our operating leverage. And lastly, the control environment is strengthening. Let me take you through the GAAP results. As we reported this morning, 2006 net income increased to $2.2 billion, up from $2.1 billion in 2005. On a pretax basis, we earned $2.1 billion in 2006, down from $2.6 billion in 2005. One reason for the disconnect is that, in 2006, we recognized a net tax benefit of $108 million versus a tax expense of $367 million in 2005. The majority of this change resulted from a favorable Tax Court decision and settlement in 2006 and the increased tax impact of our low-income housing activities. So let's go through the pretax change. In 2006, our total revenues declined by $419 million to $5.2 billion. We had a reduction in net interest income of $1.1 billion. That was partially offset by a $400 million increase in interest received on interest rate swaps. Our net interest margin declined, because lower yielding debt we put on the books in 2003 and 2004 is running well and it's being replaced by today's higher cost debt. This is especially pronounced due to the flat yield curve and reduced our overall net interest margin by 13 basis points. Turning to the guarantee portfolio. Management and guarantee revenues increased nicely last year. During 2006, we experienced a significant increase in our customer guarantee volumes that more than offset a modest reduction in our contractual guarantee fee rates. As a result, we generated about $1.7 billion in guarantee income during 2006, up from $1.5 billion in the prior year. While interest rate cycles will come and go over time, strong customer relationships, growing volumes and a growing mortgage market are sources of reliable growth. We also expanded the breadth of our guarantee business during 2006. With better technology and by combining our sourcing and capital markets expertise to create innovative solutions for our customers, we were able to bid on a broader array of the mortgages our customers originate. So that's it on revenues, let me go to the expenses, and I will comment on credit and admin. In '06, our estimates of the credit costs occurred for Hurricane Katrina improved significantly. For the rest of the portfolio, we experienced modest underlying credit deterioration in 2006. But as a percentage of our total mortgage portfolio, credit related expenses were only 2 basis points, still at very low levels compared to historical norms. This is due to the fact that our portfolio is predominantly based on long-term fixed rate mortgages. Our overall average LTV ratio is about 57%, and we have little to no exposure to the subprime risk layered mortgage products that have drawn so much activity lately. Turning to admin expenses. While 2006 expenditures were marginally above those in 2005, the increase was almost exclusively focused on outside support to strengthen our technology, our internal control environment and our financial reporting capabilities. As we indicated last year, our goal is to manage admin as a declining percent of our total mortgage portfolio over time. We succeeded in this last year and brought our cost to 9.3 basis points down from 9.7 basis points in 2005. Improving our efficiency will continue to be a major focus. We think over time, we do have a scalable platform, but we need to be conscious of completing our current remediation efforts and investing in future capabilities as well. Let me now go to the perspective on fair value. We generated $2.5 billion of fair value return in 2006, which is up $1.5 billion compared to 2005. We have tried to provide some additional fair value information, so that we can give you more color on these returns. That said, we know this disclosure is still a bit lean and we will build it out over time. At the very high level, our 2006 net fair value returns before capital transactions was $2.5 billion, yielding an ROE of approximately 9.5%, that's up from the 3.7% ROE in 2005. While this return is below our long-term guidance of low to mid teens, we do believe that we will be able to achieve our expectations over time, as we are able to increase our guarantee and retained portfolios at current margins, make our capital structure more efficient and manage expenses to an acceptable level. The fair value attribution, I will provide next is pretax and excludes G&A as well as returns on capital. In the retained portfolio, throughout 2006, we generated $1.3 billion in fair value, up from $500 million in 2005. Results in both years, include the underlying earnings in the retained portfolio with significant reductions for the impact of OAS widening of $900 million in 2006 and $2.7 billion in 2005. The 2005 OAS impact presented here is higher than last year's estimate on that number, as we strengthen our estimation technique. This can happen as we continue to improve our fair value attribution capabilities. If you adjust the retained portfolio results for the OAS reductions, year-over-year returns declined, as we were unable to add significant amount of return above that generated by the core spread due to generally diminished market conditions. In our guarantee activities, throughout 2006, we generated $1.9 billion in fair value, up from $1.1 billion in 2005. It should be noted that the 2006 results benefited from the reversal of approximately $300 million in estimated losses due to Hurricane Katrina. 2005 results include the $400 million cost of Katrina and the impact of $1.2 billion reduction due to evaluation methodology change in the GA/GO. If you normalize for these items, in 2006, we experienced a significantly larger mark-to-market decline in the value of our existing book of business. This was due to the market’s measure of future credit losses and increased market risk premiums. We also estimated that the value of new business booked in 2006 declined compared to that booked in 2005. Throughout 2006, we maintained a strong capital position with prudent surpluses overall constraints. We did this while significantly increasing our return on capital to common shareholders to $3.3 billion through our increased dividend and repurchases. We are very pleased that we have been able to announce today our plans to repurchase an additional $1 billion in common stock in conjunction with the issuance of preferred, which continues to improve the efficiency of our capital structure. Next quarter, we will update you on our execution process. I will end my prepared remarks on a really positive note and affirm how pleased we are with releasing our 2006 results and annual report today. I will make a couple of points. First, we said we would release our results before the end of March and we have done it. Our closed process went smoother than ever. This is a company-wide effort and I want to thank and congratulate everyone for delivering on this extremely important commitment. Secondly, we are continuing to improve our transparency. Our GAAP disclosures are very detailed and we have only added to them, and now we have gone further than ever on explaining our fair value change. We know you would like even more and you can expect improved clarity with every quarterly release. Third, we were able to generate all of the information contained in the annual report and all the supplemental information we provided and go through a full audit and still be done in around 80 days. This is a big step in the right direction and gives us confidence in getting back to quarterly reporting in 2007. Lastly, our control environment grew stronger everyday. We are making good progress on remediating our control issues. In the first quarter of 2007, we remedied 3 of our 16 previous matters. We are intensely focused on the wreck and you should see items drop off of the list each quarter. Ultimately, as Dick said, we want our internal controls and processes as strong as our balance sheet and I am confident we can get them. With that, let me open up for questions.
Operator: Thank you. (Operator Instructions) And one moment please for the first question and that will come from the line of Bruce Harting of Lehman Brothers. Please go ahead.
Bruce Harting - Lehman Brothers: Seems like over the last couple of years the subprime market has really replaced the FHA product, and you and to some degree Fannie Mae, I guess, both have abstained from those higher LTV products. Is there any product mix that you could see coming back in the marketplace that will replace the subprime product with the regulatory issues and congressional issues they are facing to keep the affordable housing market liquid and continue to provide capital to that marketplace. So, the question would be, do you foresee FHA product coming back, regaining share? And do you have a product alternative, perhaps in conjunction with the mortgage insurers that you could take higher profile in coming quarters? Thanks.
Richard F. Syron: Well Bruce, this is Dick Syron. First of all, I think it's essential that there would be continued development in a way to address the problems of a lot of the people that have been adversely affected by developments in the subprime market. As we all know, what's happened on a worldwide basis is we have had a huge pool of liquidity, credit spreads have greatly diminished and business is written that may not have -- we would have been better off of if it wasn’t written. Fortunately, at least speaking for ourselves as a GSE, we, as you know, weren’t involved in underwriting much of that business or any of that business directly. Having said all of that, your point is right. We are working fairly intensely right now on how we can develop products in the subprime space that both shareholder and consumer friendly, and really work in this, but we are doing it on a pretty accelerated basis, I would say is promising that there is a space there. Lastly, I would say that I would expect that there would be opportunity for some FHA expansion in this market, but at least speaking for ourselves, we think there is opportunity for us that is both mission and shareholder friendly.
Operator: And does that answer your question?
Edward Golding: Next question, please?
Operator: Next, we will go to the line of David Hochstim from Bear Stearns. Please go ahead.
David Hochstim - Bear Stearns: Thanks. I wonder if Patti could talk about the magnitude of the change in market pricing that's occurred that could affect you or your ability to issue more securities or buy more loans, and how significant that could be?
Patricia L. Cook: Well, I think on the pricing side there is two answers. One, what’s happening on the asset side, and what’s happening on the liability side. And I think on the asset side, and this has been reflected in our fair value returns over the last couple of years, spreads have been widening and risk premiums are increasing, particularly in credit, which we believe presents us with an opportunity going forward. While our debt at the margin has increased some in sympathy with that widening, the net spread to us is attractive and improving.
Operator: And next, we will go to the line of Moshe Orenbuch from Credit Suisse. Please go ahead.
Moshe Orenbuch - Credit Suisse: Thanks. I am wondering if you could address a comment, Buddy, that you had made about the value of the new business on the guarantee side in '06 being worth less than in '05, and why is it that you aren’t able to get pricing, or is it a credit risk phenomenon and then why is it that you are unable to get pricing? And kind of corollary to that, as you look out now at some disarray in the private label market, do you think that turns around I mean, how does that affect you going forward?
Anthony Piszel: Well, I shall comment briefly, and then I will hand it over to Patti. You know, we measure the value of new business based on looking at the market and seeing how they value that new business, and given where credit spreads went for the year, there was a -- the market's expectation of where credit losses and market uncertainties were, it was higher. So that marked down the value of the business. On the pricing side, it was about the same year-over-year. So it really does reflect the market's view of where credit was for the current year’s generation of the business. So Patti, maybe you could add something to that?
Patricia L. Cook: Yes. I think the only comment I would make to embellish is that, we continue to see competitive pressures in GSE space on our prime fixed rate business, in terms of the direction in G-Fees. But, you were headed in the right direction when we talk about, what's the opportunity for us in share in the private labeled market. And I think for us, there is two ways for us to penetrate mortgages. One is to look at our overall GSE share, which is under some pressure, but its also to look at increasing our penetration in conventional, conforming market overall, where right now, in fact, the returns may even look more attractive.
Operator: And next, we will go to the line of Eric Wasserstrom from UBS.
Eric Wasserstrom - UBS: Hi. I was hoping you could give me a little clarity on given the changing mix of the G-Fees portfolio, why the contractual G-Fees margin is actually coming down, because it would seem like the buyers would be up given the more credit risky products?
Patricia L. Cook: I would say the general observation there almost irrespective of the credit quality is that there is pressure on G-Fees. There is overall pressure on returns in the GSE space.
Eric Wasserstrom - UBS: Okay.
Eugene M. McQuade: Eric, this is Gene McQuade. I would add is that, if you look at what's happening at least with the GSE portfolios over the past four or five years, the credit experience has been extraordinary, and I think that’s now reflected in the last year or two of repricing on these G-Fees in the portfolios. These contracts are done a year or so ahead of time, and I think they are reflective of the environment prior to some of the dislocation we have seen in the last two or three months.
Operator: And next, we will go to the line of Bob Napoli from Piper Jaffrey. Please go ahead.
Bob Napoli - Piper Jaffrey: Thank you. Good morning. A question, I was hoping to get Freddie Mac's view on the outlook for the State Albany outlook for credit quality, the health of U.S. consumer credit quality in the mortgage space, and your viewpoint on whether the issues in the subprime mortgage market were also being seen throughout and are likely to spread in your business?
Richard F. Syron: Well, Bob, let me start at the back first. I think that there maybe some slight bleed over, but we really haven't seen very much yet, as you know there has been some slight bleed into in the Alt-A space. But in the prime space I think things are pretty good. There maybe some slight affect, but I don't expect that there'll be a great deal of affect. Dealing at a macro level, which your question raised, I think we have seen a period in which you know there was an enormous credit expansion, a worldwide great increase in the amount of liquidity over a substantial period of time, very, very substantial checking on of debt by American consumers. Unfortunately, in many cases by people that have difficulty servicing that debt. I think as every great expansive period has resulted, and this will be followed by some adjustment, and as that adjustment occurs, I would think that obviously as being very broadly talked about, a lot of that will be in the subprime residential mortgage market. But I think that some of this will overflow into the broader economy, as consumers become more concerned about their debt burdens, and in many cases it should be.
Operator: And next, we will go to the line of Brad Ball from Citigroup. Please go ahead.
Brad Ball - Citigroup: Thanks. My question has to do with the capital actions that you announced today. How did you come to the $1 billion of preferred issuance and the $1 billion common buyback, our estimates suggest that you could issue perhaps twice that amount if not more in preferreds?
Eugene McQuade: Yeah, Brad. Hi, it's Gene. We have a capital planning process here, as we come into the year that caused us to look at what our outlooks were for growth, what our outlooks were for generation of capital, what we looked at in terms of dividends and where we'd be on a common and on a preferred scale. We essentially felt that $1 billion today was the right number to recommend to our board and which they approved, doesn't mean that we wouldn't think of anything later in the year, but just where we are now with as all of you have described, a market that is a bit choppy and uncertain that we would look the return to capital seriatim as opposed to promising anybody any big bangs in a difficult market.
Operator: Thank you. And next, we will go to the line of Ed Groshans from Fox-Pitt Kelton. Please go ahead.
Edwin Groshans - Fox-Pitt Kelton: Good morning. In your opening comments, Rich, you mentioned making progress to get more timely on the quarterly reporting, and then now that just pretty much almost timely with the 2006 report, does that mean that we are going to see timely quarterly reporting in the next quarter or two? Maybe we see something for the first quarter or second quarter, or is this going to be back half loaded?
Richard F. Syron: You know, your point is right. We were able to get through the annual report in 80 days. On the quarter, you provide a lot of less information, and you don't have to go through a full audit. So, our hope is that we can go faster. That being said, we are still new in getting to our monthly closes, and we don't want to make a commitment that we can't hit, but we will try to issue the first quarter as soon as we are comfortable that we have got it right. And if that can be before we get to the second half, it will be, but we don't want to make a commitment at this point.
Edward Golding: Operator, I think we have time for one more call, please.
Operator: Okay. And that will come from the line of Ken Bruce from Merrill Lynch. Please go ahead.
Kenneth Bruce - Merrill Lynch: Hi, good morning. Hoping you would elaborate, Patti, I believe you had mentioned that there is an opportunity to penetrate. I believe it's the private label market or at least the non-GSE guarantee fee business a little bit more. If you would address maybe how you plan to do that or what areas you think is best to penetrate?
Patricia L. Cook: Well as Dick alluded to earlier with the dramatic changes that are occurring in the let's say subprime and even Alt-A market where liquidity is drawing up, I think there is an opportunity for Freddie Mac to both provide liquidity, and take a leadership role on the credit side. So I think the combination of some new products and our ability given where we stand in credit to provide some liquidity to the market is a great opportunity for Freddie Mac.
Edward Golding: Operator, why don't we take one more call, please.
Operator: Okay. And that will be a follow-up from Bruce Harting from Lehman Brothers. Please go ahead.
Bruce Harting - Lehman Brothers: Well, thanks. Can you talk a little bit about the margin outlook, if you could, and keeping that your, any, -- what are the optionality issues with regard to perhaps letting the duration gap and some of the other interest rate risk measures widen out a little bit and get a little more margin, or are we seeing, is this just a yield curve pressure in combination with a mix change toward more AAAs and securities, or how do you sort of view that on a go forward basis in terms of margin mitigation? Thanks.
Anthony Piszel: Let me just comment that if the question, Bruce, is focused on the GAAP margin compression. We still have a fairly good amount of this debt from '03 and '04 that are at very low rates, that's going to run through the next couple of years, that's going to roll off the next couple of years. And with the yield curve being where it is, it's going to be hard to not avoid some NIM compression. If the yield curve goes back to a normal slope then we could mitigate a substantial amount of that. Maybe, Patti, you can just comment on the fair value side.
Patricia L. Cook: Sure. From an economic margin perspective, I think I would make two comments. As I mentioned earlier, as we continue to see sort of widening in credit risk premiums and a reduction in our fair value associated with that, that ought to be creating opportunities for us on new business to put it on the books at increasing margins. In addition to that, I think we all know that we don't necessarily fully hedge our portfolio to OAS. And depending on the market environment like we had in '05 relative to '06, there can be the opportunity to add value over and above OAS. But in this particular year with the yield curve flat with spread tight those opportunities were not plentiful.
Richard F. Syron: Okay. I would like to thank everyone and we look forward to talking to you again in the future. Thanks.
Operator: Ladies and gentlemen, this teleconference will be available for replay after 1:00 pm today through April the 6th 2007. You may access the AT&T replay system at any time by dialing 800-475-6701 and entering access code 867017. International participants may dial 320-365-3844. Once again those numbers are 1-800-475-6701 and 320-365-3844, access code 867017. That does conclude our teleconference for today. Thank you for your participation and for using AT&T executive teleconference. You may now disconnect.